Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Third Quarter 2014 Earnings Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. Now I'll turn the conference over to Mr. Peter Trpkovski. Please go ahead.
Pete Trpkovski: Thank you very much, Paul, and good afternoon everyone, welcome to the conference call. Today's presentation is available on our website at www.centuryaluminum.com. We use our website as means of disclosing material information about the company and for complying with Regulation FD. I would also like to remind you that today's discussion will contain forward-looking statements related to future events and expectations, including our expected future financial performance, results of operations and financial condition. These forward-looking statements involve important known and unknown risks and uncertainties, which could cause our actual results to differ materially from those expressed in our forward-looking statements. Please review the forward-looking statements disclosure in today's slides and press release for a full discussion of these risks and uncertainties. In addition, we've included some non-GAAP financial measures in our discussion. Reconciliations to the most comparable GAAP financial measures can be found in the appendix to today's presentation and on our website. And now, I'd like to introduce Mike Bless, Century's President and Chief Executive Officer.
Mike Bless: Thanks very much, Pete, and thanks to all of you for joining us this afternoon. If we could just move along to Slide 4 please, like to give you a quick update of the last couple of months since we spoke with you in late July. We are pleased with the company's progress this quarter and the plans are generally operating well. That having being said, Hawesville did continue to struggle during the quarter with the aftermath of the power modulations, that we experienced in the spring and early summer. As you recall, we spoke to you about this during the July call. Good news is that we’ve seen very good improvement during the last couple of weeks but the situation is getting back to very near normal. And in a few minutes I'll summarize the operational issues we faced during the quarter and Rick will give you some detail on the financial impact that they had during this third quarter. So quick here now on the slide, let me give you a summary of some of the major developments over the last couple of months. We were really pleased last week to have announced the signing of an agreement to purchase the remaining interest in Mt. Holly, I'm sure everybody saw that. As we said time and time again, this is a superb plant in virtually every area. It's got a great focus on safety first and foremost with a record of excellent results to prove that. It's got a high quality group of employees and a great management team. And they’ve been producing excellent production efficiencies at an attractive controllable conversion cost. Last year we’d spoken with you about the good value added mix of the plant. And importantly, Mt. Holly progress in a great local community and very pro business state. I'll make some more comments about that in a moment. As we discussed many times, the issue at Mt. Holly remains the cost of electric power. As you remember, we entered into a 3.5 year arrangement to buy the majority of power requirement at Mt. Holly up system and that contract expires in December 2015. We've been discussing that for 2015 structure with the power provider earlier in the year but incredibly at that time we are unable to reach an agreement. And thus we were forced to give the post 2015 termination orders in June, you’ll recall we spoke about that with you in July. Despite all this positive attributes, the plan simply isn't viable under the terms that we were being proposed at time. It's very receptive under those terms, Mt. Holly would be paying by as far the highest power rate of any smelter in the U.S. We firmly believe its stops to exist that should satisfy all the constituencies. The plant is obviously very important to Holly community and to the regional economy. It should be amongst the most competitive smelters in North America. As in Kentucky we are absolutely committed to running this plant for the long term. We are not interested in settling for a short term part here. We’ve been working on a variety of structures over the last couple of months and in the coming time, we’re going to be sitting down with all the relevant constituencies and again I'll make so more comments about that in a few minutes. As it was in Kentucky we think the work will be hard here but we’re confident in finding our path forward. Mt. Holly benefits from strong state and local political and business leadership to understand the relevant issues and this is one of the attractive attributes of the plant as we have said it overtime. We think this will be a really good transaction for Century. Rick will provide some detail on the terms and the view itself but let me just give you a little bit of perspective at a high level. As you see in the base purchase price of $67.5 million in cash. Based on the metal price over the next 14 months, that amount could go as high as $90 million or as low as $55 million. To give you a sense of the profitability, the 50% of the plans that we’re buying could have added about $11 million of EBITDA to our Q3 results. So obviously $44 million on an annualized run rate basis based on Q3 performance. To give you a little bit of further perspective, based on current natural gas prices and current metal prices, over the coming 14 months - I should say the 13 months, from the projected closing to the transaction at the end of November, through the [indiscernible] the power contract at the end of December 2015, that 13 months period. We’re doing well over $100 million of EBITDA, again from a 100% of the plant. Of course they were taking the risk of the post 2015 power situation as we did at Sebree. Okay, let’s move on to a little bit, I'll make some more comments as I said on Mt. Holly here in a few moments. As expected power prices in the U.S Midwest generally and other plants in particular continue to moderate that closer to historical norms during the quarter. The weighted average delivered price at our two plants, that's the average of the two plants, was down 10% Q3 over Q2 to under $37 a megawatt hour, that’s fully delivered price. We obviously continue to watch these markets very closely. Moving along, as we expected [indiscernible] last time about this, we finalized the decision that to move forward with the rebuild with the second base furnace at [indiscernible]. Just to give you some reminders here, we paid $30 million for the plant when we first bought it out of bankruptcy. We spent about $35 million in addition to refurbish and modernize the plants infrastructure. And we also rebuild one of the two baking ovens. Before moving forward with the investment to rebuild the second oven, we wanted to ensure that we can make a quality product and we do it at the forecast conversion cost. We've been doing those two things successfully since the beginning of the year, till we've now taken a decision to rebuild the second furnace. This will be a $15 million project obviously much smaller than the first project given that we don't have to upgrade any of the infrastructure anymore. That was all done in the first project. The incremental production will come online in late 2015 and at that time the complete plan will have an annual capacity of 150,000 tons of carbon anodes. That will be sufficient for almost all of current economies current requirement. The investment lowered the plants conversion cost by over $100 per metric ton, thus producing an annual benefit of $15 million at least, thus producing a simple payback for this investment of about a year. Lastly, the new value added production has come on stream at both Sebree and Grundartangi. We've spoken with you about this through the year-to-date. And we’re on track to produce commercial quantities at both plants in 2015. We’re looking at about 50,000 tons in each products family at each plant in 2015. We experience during the quarter some normal run-in issues but we believe we worked that away out of this – out of system. They’re very different products, obviously different plans, different circumstances and all that, a coincidence – coincidentally each investment was about the same magnitude about $2.5 million each. And the simple payback on each investment is less than six months. So we're excited about that. Okay, if you could turn to Slide 5 please, just a couple of quick comments about the market environment. The cash LME price first saw a rapid rise from the end of June it was about $1,850 at the end of June to a high of over $2,100 per pound at the end of August. So, in just those two months we saw a 14% increase in the cash commodity price. Based on obviously amongst other things, [indiscernible] we believe is now turning solidly towards a growing perception of building deficits in the foreign aluminum markets. Obviously it seems that turbulent period in all financial markets since late July with aluminum obviously subject to the same trends as other asset classes, especially so called risk asset. Cash price currently fell straight back to almost since 30th of June level, making a low of $1,870 a ton in early October. And as you've seen there is so many markets, it’s comeback nicely since then with the unofficial price this afternoon closing at $2,030. Bottom-line, the average cash price during the quarter was $1,987 at 11% from the average cash price in Q2. Couple of comments on the fundamental fixture of the market which we think continues to look good. Year-to-date global consumption is up about 3.5% ex-China with North America finishing especially strong well over 4%, and that rate should be increasing nicely at 2015. We obviously continue to see strong trends and sectors like automotive and aerospace. China opposite picture, we’re seeing a decreasing rate of growth, yet the pace is obviously still low in excess of GDP and underlying industrial production. Last couple of quarters we've seen consumption growth in the mid-teens. Part of this of course is based on the government [indiscernible] programs. The forecast going in 2015 show that without any incremental government programs, this weighted growth could fall into that mid-to-high single digit, sort of in the 6% to 8% going into 2015. This contrast with the supply picture in China, to recall we talked last time when we thought about 2 million tons of capacity at close by the end of last year. And the forecast show that about two-thirds of that has come back today. And that's help to produce a net production growth year-to-date in China of about 8%. Forecast call for that rate to accelerate potentially into the low double digits in 2015 in 10% to 12% rate. Supply growth in the rest of the world is quite different, turn pace and the forecast pace for the next couple of quarters is for 1% growth or below, and that includes some small bits of curtailed capacity that we’ve seen coming back online principally in Europe. All these data yield and mix balance fixture in the world excluding China, we see a 2014 deficit approaching a million tons and this trend continuing into 2015. And in China based on the data that which I just talked, you’re seeing a risk – a supply growth outgrowing demand growth in 2015. And perhaps as confirmation of that, we’re seeing some reasonable quantity as some of the fabricated products currently coming out of China. Just couple of comments on the physical markets, the global LME prices were down 1 million ton year-to-date and the physical markets themselves remain tight as you’ve seen delivery premiums in the EU and the U.S. about $500 a ton and above. We think conditions remain in place for these levels to be sustained for at least the next couple of quarters, but as we’ve said we believe that some point in the future it got to start coming down. In addition, product premiums continue to strengthen, to give you an example in Europe, billet premiums are now at $900 per metric ton or even a little bit above. Just couple of quick comments on alumina before I move on, the index price has trended up substantially over the last month or so, with the Australian price now at about $355 per metric ton, with the discount in the Atlantic market. There is some short term factors at play here, we’ve seen some reasonably a large refinery outages in China, but we’re also carefully watching the impact of the longer term trends. Perhaps things like back side supplies in China that are new Indonesian resource groups. Okay, if we can move along to Slide 6 please. Just a couple of quick comments on the operations before I turn you over to Rick. As you can see most importantly we had a pretty good safety performance this quarter. Sebree cost us just a few more incidents than Q2, but this was somewhat related to the law of small numbers. Plus importantly none of these incidents was severe in anyway. You see here the impact of the upside condition of Hawesville with production down due to the larger than normal number of cells out of service due to the instability from the power modulation. Rick will also talk about our increase spending to ramp up our pot rebuild capacity to get those cells back into service and address some of the other related issues. As I said a few minutes ago, the numbers of cells offline has now significantly reduced over the last couple of weeks and we’re now very close to a normal level. We also saw a follow up in high purity metal production during the quarter and this is now coming back nicely over the last couple of weeks. We believe we’re out of the woods but Hawesville condition did have a meaningful impact on Q3 results and again Rick will give you some details here in just a moment or two. The other plans were good, as you can see Grundartangi is back to full production after the Q2 power procurement that we experienced due to the low reservoir levels in Iceland. Also at Hawesville as you see right here, production metrics were generally off across the board and again they’re now recovering. With that, I will hand it over to Rick.
Rick Dillon: Thanks Mike. Before we get into our third quarter financial performance, let’s review some of the details of the recently announced acquisition. I’m on Slide 7 of this presentation. As Mike noted we're acquiring [50.3%] (ph) interest in Mt. Holly for $67.5 million, subject to certain adjustments, with the deal anticipated to close in the fourth quarter at the end of November. There's an earn out provision that could result in an adjustment to the purchase price, up or down based on the movement in the Midwest transaction price from July 2, 2014 to December 31, 2015. The maximum adjusted cash price under this provision of the agreement is $90 million and a minimum adjusted price is $55 million. The acquisition also includes an adjustment to put the parties in the economic division that Century had 100% of Mt. Holly as of October 1st. The cash adjustment will be based on the results of the business over the measurement period from October 1, 2014 through the closing date. The calculation and settlement will happen post closing as detailed in the agreement. Lastly there is a working capital adjusted mechanism related to the partnership. However, this mechanism excludes alumina, and the related liabilities, finished goods and trade receivable. It's important to remind everyone that this partnership has historically operated as holding business so we are anticipating a networking capital investment post closing. Pursuant to the agreement our Alcoa fund serve the current existing liabilities to the partnership that closing estimate $11 million. We anticipate additional working capital need of approximately $10 million to fund alumina and other costs in the months following the close. Both parties have agreed to fund their respective share of the gap pension liability for Mt. Holly. In addition, we will provide the incremental fund required by law to get to PBGC fully funded status of the terminated plan. The amount of this funding will be determined by [indiscernible] calculations based on the existing plan assets performance through the closing date. Under the agreement we have an option to differ these payments for about 12 month. Alcoa will fund this share at the Mt. Holly liability estimate about $2 million at closing. The deal will result in approximately 150,000 tons of incremental annual capacity, [indiscernible] the benefit of the third quarter, our reported EBITDA would have increased by $11 million as Mike previously discussed. Prior to given the timing of the closing of the transaction, the deal is expected to have a minimal impact on our 2014 results, but should be accretive to our results in 2015. So now let's turn to Slide 8 of the presentation and I'll provide some additional details on the third quarter financial performance. Our net sales were up 9% from the second quarter, reflecting the combined impact of continued favorable market conditions, as well as increased volumes quarter-over-quarter. Looking at the market impact on a one month lag, the average cash LME and Midwest premium transaction price were up approximately 10%. Realized prices in the U.S were up 9% in the third quarter just little bit lower than the market prices, reflecting an unfavorable mix of lower price products sequentially. Specifically, Hawesville saw a reduction in high purity metal quarter-over-quarter, as with the impact of power modulation to the early spring and summer as previously discussed. This resulted in loss production volume of just over 2,000 tons consistent with our discussion on last call. The instability during this time also resulted in increased costs as we rapidly moved to get all parts back online. I'll talk about more about that impact later. As Mike noted this effort has continued through the last few weeks and we are currently closed to normal production level. The European Duty paid price increased 12% in the third quarter while realized prices in Iceland increased only 8% quarter-over-quarter. This is reflective of our remaining totaling contracts and reduced direct sales on increased volume resulting in a heavier weighing of lower price totaling shipments quarter-over-quarter. As a reminder, we only receive a portion of the premium on our totaling sales. Iceland had direct shipments of approximately 38,000 tons in the third quarter, a decrease of almost 4% from the second quarter. With the shift to direct sales as we previously discussed, [indiscernible] for revenue recognition occurred at the port versus at our facility. As a result almost 3,500 tons [indiscernible] at the end of the third quarter resulting in a quarter-over-quarter decline and direct sales volume. Iceland production volume however increased 4,000 tons in the quarter and totaling sales were up 3,800 tons or 12%. On a consolidated basis, global shipments were up 1% in the third quarter versus the second quarter of 2014 with U.S shipments flat and Iceland shipments up 30% sequentially. Turning our attention to operating profit. We’re reporting an adjusted EBITDA this quarter of $80 million, an increase of $36 million when compared to the $44 million adjusted EBITDA in the second quarter of 2014. The drivers of this improvement are favorable impact of market conditions on pricing and power costs, partially offset by increases and other operating cost at selling, general, administrative expenses. Higher all in pricing, including a rise in LME, regional premiums, value added product premiums and net of the impact of the LME on our aluminum power costs, all combined to improve operating profits by $37 million. Now let's briefly visit our power cost discussion on the last quarter as prices have stabilized nicely. Take a look at Slide 9, lower pump prices improved operating profit by $9 million quarter-over-quarter. Hawesville power costs were down $3 million and Sebree power costs are down $4 million from the second quarter both consistent with our discussions last quarter. So our average delivered price to Kentucky in the third quarter was approximately $37 per megawatt hour and that’s balanced on the $41 incurred in the second quarter. Slide 9 includes again the historical and forward pricing information for the Indiana hub, which is the closest liquid node to our Kentucky operations. So you need to add another $3 to $4 per megawatt hour to get to the delivered price. The graph shows average Indiana hub prices year-to-date of $42 per megawatt hour. The forward view undelivered prices for the Indiana hub would suggest fourth quarter 2014 undelivered prices of approximately $34 per megawatt hour and this is consistent with what we are currently experiencing in the fourth quarter to-date. 2015 to 2017 core prices are at approximately $36 million per megawatt hour. As a reminder, every dollar per megawatt hour impacts EBITDA for our Kentucky operations by approximately $8 million per year. Mt. Holly power costs were down $2 million driven by a decline in natural gas prices with average prices in the low 40s during the third quarter versus the mid to high 40s experienced in the second quarter of 2014. Natural gas prices are currently under $3 to $0.75. Operating cost increased $10 million in the third quarter of 2014, the cost associated with Hawesville pipeline stabilize and the resulting impact of lower production volumes on the fixed cost absorption collectively increased operating cost $5 million during the quarter. The cost of alumina thus increased - consisted primarily of increased cost including outside labor, materials and supplies. Sebree incurred an incremental $1.3 million in cost associated with finalizing its new labor contract. Lastly Sebree and Grundartangi both incurred start up cost during the third quarter bringing the new small form foundry in capacity online. SG&A cost increased approximately $2 million and this was attributable primarily to an increase in stock compensation expense driven by the rise in our stock price during the quarter as well as transaction cost associated with the Mt. Holly deal. So, favorable market conditions partially offset by increased operating cost in SG&A expenses drove a net operating profit improvement resulting in adjusted earnings per share of $0.52 for the quarter, an increase of $0.30 from the second quarter of 2014. Moving on to liquidity, let’s turn to Slide 10. Cash increased during the quarter by $72 million, with increased in adjusted operating profit being the obvious driver. As projected capital spending in the third quarter increased $15 million up $6 million from the second quarter. This increase reflects the plan spending on our anode facility in the Netherlands and continued investment in our smelters, including the expansion at Grundartangi. We expect our spending in 2014 to come in at approximately $60 million at the top end of our previous range of $50 to $60 million. Taxes during the quarter primarily reflected temporary withholding taxes in Iceland. The working capital increase is driven by favorable accounts receivable payment terms negotiated during the quarter and timing of liability payments. There were no outstanding borrowings under our revolver other than letters of credit and available liquidity increased by $69 million. During the quarter we retired debt maturity the remaining 2014 senior unsecured notes secured at $2.6 million. Now let's take a look at our fourth quarter and the impact we expect Mt. Holly to have on our liquidity position. We expect to fund this acquisition using a combination of available cash under revolver. Slide 11 provides the forecast view of the liquidity post acquisition holding LME and power price at levels assuming no significant movement in working capital. With those assumptions, we should generate another 80 million in EBITDA in the fourth quarter. As previously discussed the first price of the transaction is $60.5 million, several adjustment mechanisms on which likely none will be finalized by the end of the fourth quarter. As noted earlier, we will have to invest in working capital as we move away from historical totaling - I believe the majority of this investment will happened on the first quarter 2015. We expect favorable withholding tax refunds in Iceland and will make our semi annual interest payment in the fourth quarter as well. We all will see capital spending at $20 million. With these assumptions, we would end the quarter the cash that's little bit under where we ended the third quarter, while there maybe an increase in out outstanding lines of credit as we take our business and we take on this new business we don’t believe the acquisition will have a significant impact on our liquidity. With that, I'll now turn the call back to Mike to discuss the fourth quarter priorities.
Mike Bless: Thanks, Rick very much. If we could turn to Slide 12 please, as Rick said I just want to give you a quick sketch of what we’re working on in this next couple of months and then we want to get right to your questions. Obviously the finalization of the Mt. Holly transaction is at top of the list. We expect the closing at the end of November or certainly by the end of the quarter. We are currently engaged in discussions with customers and suppliers regarding 2015 business as you would expect. We are preparing for the normal integration activities relating to employees, financing business systems and other matters. Most important, during these next couple of months, we’ll be keeping the folks at Mt. Holly working safely and motivated during this period of uncertainty due the power contract. I don’t want to make, this is a real, real challenge. We faced the exact same issue at Hawesville and Sebree, before those power contracts were approved before last. The [indiscernible] results will now be – starting discussions as I said on the post 2015 power contract. The complex issues which we are dealing is a different situation than Kentucky but many of the underlying concepts are the same. Though the expiry date is 14 months away, we think it's in the best interest of all parties to get this done with the real sense of urgency. And in that respect, we’ll begin meeting with all the key constituencies in the near future. Difficult for us to gage at this point exactly what the successful structure will look like, we’ve done a lot of work and firmly believe that a solution exists that should satisfy all parties. As I said before, the plan simply isn’t viable at the levels that were being discussed earlier in the year though we need a reason to find a different path. Moving along, we’ll be finalizing our business planning process during the next couple of months. As you recall we’ve talked to you in the past that we’re considering some significant investments in both the U.S. and in Iceland in value added product capacity. These kind of investments require pretty long term planning, especially given the key, the attractive nature of the key markets, the important equipment has some significant lead times. We do decide to move forward the CapEx process would take about 18 months. Firstly, we’d see some production in late 2016 but no full scale production until 2017. We’ll update you on where we are when we give you the highlights of our 2015 plan when we speak with you in February. Obviously any proposed project would be compared to an ultimate deployment of the excess cash flow that we’re generating. Around the current market conditions, the company should be producing very good cash flow in 2015. And thus our capital allocation policy will be in the area of major focus as we enter 2015. Couple other comments, the local transmission bottle mix remain an issue for the Kentucky plants. This is more acute for Hawesville which fits in a relatively weak load bucket. The specific transmission weaknesses are well known and several potential solutions exist on – now working. This is only a risk on days with unusual conditions. Couple of examples, obviously the very high demand that we saw and the very cold ones of January to February. And number two during the shoulder seasons in the spring and fall, when the utilities proactively take generation and transmission out of service for regular maintenance. We obviously saw the negative results of that in May which of course has led to the power issues with which we’ve been dealing at, there were the pot issue with which we’ve been dealing at Hawesville but we saw pretty benign conditions in September. We need to find a long term solution here. As we’ve said Hawesville viability is an issue with this long tail risk going forward. Its very real issue also effectively prevents any major economic development from occurring in this region in Kentucky. And as we believe it will have the attention of the local political and business leadership. Lastly, at Ravenswood we’ve continued in an active dialogue with the power company and we continue to have the very real goal to have a structure to present in Q4 for the power. And with that Pete, I think we can move along to Q&A.
Pete Trpkovski: Thanks Mike. And Paul now, can you facilitate the Q&A session.
Operator: Thank you very much. (Operator Instructions) And our first question will come from Sal Tharani with Goldman Sachs. Please go ahead.
Sal Tharani - Goldman Sachs: Thank you. Can you just give us a little bit of color on how to model the minority interest going forward?
Mike Bless: The minority interest, you speaking about Mt. Holly - 
Sal Tharani - Goldman Sachs: No. I mean, what you have been - since last quarter we’re seeing a minority interest in the P&L, the income statement - 
Mike Bless: I'm sorry Sal, that relates to our investment in our anode plant in China, BHH, and that’s kind of a hard one too to model Sal, because BHH basically has two businesses. One is the supply to Grundartangi to ourselves, and the other is the supply for the local China market. And of course the supply to Century in overall has been relatively constant but the China market as you well know is a much shorter term market, it goes up and down and up and down. So, I'm not trying depth question, that is a tough one here I wouldn’t – we can’t give you any sort of parameters to model in there.
Sal Tharani - Goldman Sachs: Okay. Also the electricity contract at the Mt. Holly, I understand it is in a different structure which is MISO versus what you had in Kentucky. What are the options you have, are there more than one power suppliers in the state or is it like Kentucky where you had only one supplier?
Mike Bless: It’s the other way around of course. So, Kentucky is MISO where you were buying on the market, in Mt. Holly – Mt. Holly is in a – I will put quotes around the word “market”, it’s in a market as referred to as VACAR, which stands for Virginia and the Carolina obviously. It’s not an organized market in the true sense but MISO as you can’t go to your screen and look at the price for VACAR, it’s a bilateral market. So the answer to the question is there’s a lots of suppliers in VACAR but you’ve got go and do individual deals with them rather than buying from the market. For example, the deal into which we entered now almost 2.5 years ago that expires in 14 months. That was obviously a one-on-one transaction. The supplier there, the generator, the place from which the power is coming happens to be actually outside of VACAR, it happens to be coming from a natural gas power generator in the state of Alabama and obviously it’s transmitted to us by the local power provider. But it’s - to your question perhaps, its quite a different situation than as Kentucky which is in MISO.
Sal Tharani - Goldman Sachs: And your goal is to deal with the same company which is supplying right now?
Mike Bless: Don’t know, Sal. Truly it could be one, it could be the actual power provider, public service company of South Carolina, Santee Cooper, and we’d be very pleased to reach a result with them that makes sense for both parties. It could be a third party like the one which we’re dealing today or different ones. We’ve had inquires in context from watts, or it would be a combination, in fact today it is a combination I should say, I said majority, we get three quarter-ish of our power from that system resource and the rest from the historical power provider and a solution like that for the post 2015 could well make sense. It’s just, it’s too early to tell what it’s going to be.
Sal Tharani - Goldman Sachs: I have just one more Mike, you gave this $11 million EBITDA if you would have own Mt. Holly’s 50%. What would it be if you had the same electricity price as Kentucky also during the quarter?
Mike Bless: I'm not going to say that other than to say lower.
Rick Dillon: A good – electricity price is a good deal higher, the EBITDA would be a good deal higher.
Sal Tharani - Goldman Sachs: Okay. Great, thank you.
Operator: Thank you. Our next question in queue will come from Jorge Beristain with Deutsche Bank. Please go ahead.
Jorge Beristain - Deutsche Bank: Good afternoon guys, Jorge with DB. My question is, are you seeing or what is it that’s giving you confidence that you would be able to successfully renegotiate the power at Mt. Holly? Could you give us any indication of changing community support or government support or any kind of green shoes you could talk to?
Mike Bless: Thanks Jorge, it’s a good question. We think we will have that kind of support but our confidence is based solely in the economics at which we have looked. And as we’ve dissected the various analogies that are relevant to try to come up with, what kind of structure makes sense and from what, what type of sources as I just said to Sal. And its strictly based on that. It’s not based on those kind of extraneous things which could be important, but we certainly wouldn’t have the confidence that we do, if we didn’t believe that the base market economics made sense. As I said, there are uncertainties. We had no certainties in Kentucky when we terminated Hawesville power contract and when we agreed to buy Sebree. But obviously we wouldn’t be moving forward with the acquisition of Mt. Holly if we didn’t have a reasonable confidence that there’s a way through.
Jorge Beristain - Deutsche Bank: And just given all the proliferation of natural gas in the U.S. just getting sort of like on site independent power producer, is that something that’s even legally possible?
Mike Bless: On-site you mean building the generator?
Jorge Beristain - Deutsche Bank: Yes. But having a third party do it.
Mike Bless: I mean we’ve had people approach ITPs approached us to do exactly that, I guess I’d say that could be a longer term solution but right now there is excess natural gas power as Rick said, the price I haven’t seen it today but the spot price was 367, a 370 yesterday. And there is capacity and excess generation that are out there. And so that’s a good idea and we’ve had some enquiries on that but the big blocks of available capacity that are out there right now its just a question of how you are obviously structure and negotiate the right deal.
Jorge Beristain - Deutsche Bank: Great. And so if I could just clarify as well, on the EBITDA just to clarify the $11 million incremental EBITDA that you would have made, that would be assuming for the full third quarter consolidation of the 50%?
Mike Bless: Yes, correct.
Jorge Beristain - Deutsche Bank: Okay. So, the annualized is 44%?
Mike Bless: Sure. At the third quarter prices, yeah.
Jorge Beristain - Deutsche Bank: And, so one last question if I may. Just on your comments about the supply demand globally obviously where ex-China everything is cleaned up nicely but the restart of some of these Chinese smelters is a concern and we’re seeing this in the steel market as well, but in steels there has been some talk of maybe China taking away export rebates and I understand that the aluminum side there, they’re moving up the value chain to export semis, could you comment, are the semis also facing an export rebate? And is that something that you’ve heard if that could be taken as a way for the government sort of rein in rogue exports?
Mike Bless: You're asking excellent question in my opinion. So, a couple of years ago, I can’t remember what the couple was, but we can all go back and look, the duty regime on both primary and semi-fab on the other hand was the same. And then they changed it, and this was prior three or four years ago, it wasn’t down in my head and everybody – and a lot of the production moved to semis. And a lot of the semi-fab stuff is not semi-fabricated products in the classical sense of the business, it’s- to be blunt people getting around, paying the arbitrage and the duties and making a very minor quote unquote value added improvement to a primary product to qualify as unwrought – as semi-fab. And so, perhaps to your point, there’s been some rumors that the government obviously is well aware of this that they might move to kind of correct that arbitrage there, but we’re not – long-winded answer – we’re not aware of anything sort of in the imminent offering.
Jorge Beristain - Deutsche Bank: Perfect. Thanks very much.
Mike Bless: Thank you.
Operator: Thank you. Our next question in queue will come from Timna Tanners with Bank of America. Please go ahead.
Timna Tanners - Bank of America: Yeah, hi good afternoon, guys.
Mike Bless: Hi, Timna.
Timna Tanners - Bank of America: So, I’m going to ask one question on Mt. Holly and then – I am hoping you can provide us some help on all the other moving parts – but on that high, I want to just clarify that it also adds to NOLs and can you use your existing NOLs? Is that fair?
Mike Bless: Rick, go ahead. 
Rick Dillon: It wouldn't add to our existing NOL. They have NOLs of their own that we can use in Mt. Holly.
Mike Bless: But I suppose, Timna maybe guessing at the inference in the last part of the question, it will increase the base of taxable income against which we can use the NOLs that we have.
Timna Tanners - Bank of America: Okay. All right, thank you.
Mike Bless: Sure.
Timna Tanners - Bank of America: Any idea why it - is there anything you can share with us in terms of why Alcoa decided to divest it's stake? Anything you can say on that?
Mike Bless: No. We don't assume, we don't know and maybe would never speak for a partner like them – a very good in long term partner or any third party.
Timna Tanners - Bank of America: Of course, that's fair. I mean, still, you have so many moving parts right now between expansion at Grundartangi and the top still at Helguvik and Ravenswood, so as far as some of these other projects end, you clearly have made the decision to make the investment anodes but can you help us prioritize or give us a timeline on when to start thinking about potential other projects?
Mike Bless: As I said we were hoping to no promises, and it will depend, we’re not going to rush it of course for a February call with you guys, but I would –we would hope as we go through our business planning process here finalizing over the next 60 days and including detailed discussion with our board toward the end of the year. So as to conclude on at least one of these value added investments because we are – the strong opinion that the market is there and so that would - we’d be able to talk with you about that in February when we release earnings. There's a couple on the docket right now, in size they could range from – in terms of CapEx from a couple tens of million to a couple, couple, couple, couple, couple, couple tens of millions, that's kind of the zip code of the CapEx that we’re looking at. And you can guess the market I think we’ve talked in the past the markets at which they’re – at which they’re targeted. 
Timna Tanners - Bank of America: Okay. So, between like value add or between expanding smelter capacity or - 
Mike Bless: I am sorry Timna, value add, value add, value add, everything right now we’re talking about value add, there’s no – other than, I should say the Hawesville expansion project, multi year at Grundartangi that we commenced three years ago or so and that’s continuing on pace and we’ll have another chunk of new capacity at Grundartangi come online in 2015, again, we’ll give you all those forecast in February. But other than that there is no, you shouldn’t expect any imminent announcement of any major hot metal capacity expansion.
Timna Tanners - Bank of America: Okay. Helpful. Thank you very much.
Mike Bless: Thanks.
Operator: Thank you. Our next question in queue will come from John Tumazos. Your line is open.
John Tumazos - John Tumazos Very Independent Research: Hey Mike, thanks for taking the question.
Mike Bless: Hi, John.
John Tumazos - John Tumazos Very Independent Research: Can you elaborate on your double-digit output growth expectation for China for next year? Some people were concerned that the economy is slowing there over at the Indonesian some will give up their bauxite? In particular – and I apologize, I’m very naïve and I just read the IAI data and believe it, but I know you guys are smarter. If you take the August IAI data for [Engit] (ph) and multiply it by 1.94, the reported alumina output was 1.7% too little and the September Engit data went up to 2% output but the alumina output went down a little bit. So, September the difference was about 4%. Do you think the alumina supply is more than the IAI reports or the Engit output is less or both is obviously the kind of need to converge to make sense?
Mike Bless: Yes, John I am going to – I am not going to get the fork down – I am going to quick kick on third down, I just don’t know, we haven’t this sleuthing to which you refer there. And so – I don’t know where you’re missing or is – I am going to have to with apologies – I don’t know, it’s an interesting one, so we’ll go – Pete will go and see if we can track it down but we just don’t know. On your broader question, I mean, I think the pieces that you’re espousing is a good one and if I can repeat it or at least get – assume I am right, the pieces is to the extent that consumption, the demand is going to moderate 6% to 8% level that’s in the base case forecast at least going to which we look, shouldn’t production and also moderate down to immediate as you well know John of all people, that hasn’t necessarily always been the case in China but as a nice - we’ll sign up your pieces there, it’s a nice thought. Who knows, at this point we’re giving you what we think is sort of the consensus for what it's worth in the marketplace.
John Tumazos - John Tumazos Very Independent Research: So Mike, apology to bear with me one more question. I talked to a very nice 1 million ton container board company in China, they have very good equipment, speaker English and I can understand – they pay dividend on the NYSE. They were told in 2017 for their steam boiler in the providence that’s just North of Vietnam to switch to natural gas from local coal and of course the natural gas only comes from Russia, and the local coal is cheaper, it's like three, four fold increase. In your intelligence, do you see any issues about electricity supply?
Mike Bless: No. John, we don’t. Our anode plant is - I don’t know if it’s in the same providence, I think if we chose at that order, Vietnam or [indiscernible] but we haven't heard or come across that kind of information, but thank you for it, we actually have a Board meeting in China, my colleague Jesse Gary, General Counsel next Monday and Tuesday in China. So, we’ll put that on the table for our partner to.
John Tumazos - John Tumazos Very Independent Research: Thank you for bearing with my confused questions.
Mike Bless: Thanks John. Appreciate it.
John Tumazos - John Tumazos Very Independent Research: Thank you.
Operator: Thank you. Our next question in queue will come from Paretosh Misra with Morgan Stanley. Please go ahead.
Paretosh Misra - Morgan Stanley: Thank you. I was just trying to see if you could provide what was the EBITDA impact because of the operational issues at Hawesville during third quarter?
Rick Dillon: Sure, for Hawesville as we talked is about $5 million of negative impact on EBITDA associated with the pot relining under absorption there. And then we have – you mentioned 2,000 tons of lost production as well which could give us an offset - roughly $1 million or $2 million of EBITDA as well, both in the two outputs.
Paretosh Misra - Morgan Stanley: The second one is also Hawesville, right?
Rick Dillon: Correct.
Paretosh Misra - Morgan Stanley: And then, did you say –and I am sorry if I missed that – that there were some direct sales in Iceland that were not included in third quarter results?
Rick Dillon: Yes. We talked about shifting from totaling to direct, the phenomena that we saw and what happen – and the important notice is going to happen, we’re open to that on the quarterly cut off, is that our direct sales title transfer happens - occurs at the floor and not at our facility. And so we’re at risk of having cut off issues that we saw at the end of the third quarter –didn’t happen at the end of second quarter and is purely due to the timing, it was about 3,500 tons with a title transfer in the subsequent month.
Mike Bless: Just to give you a little bit of background. It's the subtlest of changes, but as Rick said you have to get the revenue recognition right. And so, in the tolling contracts the title transfer occurred and occurs – I think the revenue gets recognized literally the minute that the product is produced, as the Engit comes up, the casting line and gets palletized, then the revenue gets recognized because contractually that's when the customers owns it. Whereas as Rick correctly says, he says that toward it's, China visualize it – half a mile away is where those pellets get put in containers and shoved on a ship. And so it’s just literally -- it’s just happens then of the last day in the quarter and where that all was. So historically before we move to direct sales, production always equals shipments because of what I just said and now you can just have timing differences.
Paretosh Misra - Morgan Stanley: Got it. Okay. This probably will show -- this will show up actually in fourth quarter results?
Mike Bless: Sure.
Paretosh Misra - Morgan Stanley: And then lastly on the SG&A side, it sounded like there were some one-off items, what’s your expectation for SG&A in the fourth quarter?
Rick Dillon: Sure. Generally speaking, our SG&A is actually pretty consistent. The one-off items you speak of where we had about million roughly back up in base expense well over a million and then some transaction cost associated with the deal. So we expect our SG&A not anticipating any other one-offs to be fairly consistent [along these items] (ph).
Mike Bless: As you remember, we’ve said and it’s been as Rick correctly says consistent. The GAAP SG&A has been about $10 million a quarter of which about $2 million is non-cash. So, our cash SG&A is $8 million, $8.5 million, $10 million is the GAAP, this quarter as you saw it was $12 million and the $2 million delta versus the $10 million is exactly as Rick just said. One is just the vagary of the accounting for our stock compensation units, which just Rick marked up and get marked down based on the quarter end stock price that’s obviously non-cash and then most of the risk as Rick said was just spending on getting the transaction with or without going negotiated. The $2 million is the answer to your question. It would unusual it weren’t a one-off.
Paretosh Misra - Morgan Stanley: Right. Okay, understood. Thank you.
Mike Bless: Thanks.
Operator: Thank you. We’ll have a follow up in queue from Sal Tharani. Please go ahead.
Sal Tharani – Goldman Sachs: Thank you. Can you give us a little color on what advantage do you get, monetary advantage when you move from tolling to direct sale, is just a premium you don’t share or is there other benefits in that?
Rick Dillon: So, there’s a couple, each moving in different ways, Sal. Remember what the tolling fee is, it’s simply the metal price minus an implicit negotiated alumina value. And so, one thing going against this of course – and if you negotiated those two things on the same day we talked about this last fall when were talking about our approach to tolling versus direct sales as the first toll expired. If we negotiated those things on the same day putting the premium aside for a second, the economics would be exactly the same because the tolling fee is just the value of a metal minus the alumina. The fact of the matter is of course that those tolling deals were put in place a long time ago, that first one in the late 90s when the [indiscernible] was started up and that’s the alumina price were couple of 100 bps below where they are today. So, that of course goes against the census like marking our alumina – regular way alumina cost up or down – in this case up as the market moves. Going the other direction is as Rick correctly said is the premium. So, at the time again 15 years ago we negotiated with the counter parties a fixed premium that we would get and they would get everything above that and back in those days, we didn’t feel like we were giving away very much because what we were getting was pretty close to what the actual number was back in the day and of course premiums have run on and on and so as Rick said we’re only getting a portion of it and so that’s -- those are the two things you’re kind of seeing there as we’re moving from the tolls to the direct sale.
Sal Tharani – Goldman Sachs: Got you. And Mike, guess is that because where the premiums are overall even if you lose them on the alumina side, overall economics is beneficial for you to go direct?
Mike Bless: That’s an excellent question. So, as you remember we said – can’t remember whether this was in the fourth quarter last year or in the first quarter once we had increased deals, but we said, at the time, it just was a complete coincidence of course, so at the time when we looked at the economics of the expiring toll with the economics of the new direct sales, those two offsetting things the increase in the premium and obviously the premium was much lower at the time versus the new alumina cost was literally a push, it was like within $1 million on all that volume when we did the math. Now today alumina prices have continued to rise, but premiums have risen proportionally more and so you can draw your own conclusion, but it was literally a push at the time, a year ago we were negotiating the first end to that first toll.
Sal Tharani – Goldman Sachs: And I have one more question on the alumina, and I am sure you have probably spoken about it in the past. Just give us a color, you buy alumina in Kentucky and you buy alumina in Grundartangi, how are these set up? Are these connected to all-in-aluminum price or is this API index of just LME price? Can you give us some color? Prices are rising so we just want to keep an idea of how to offset the LME increase in the aluminum price versus the alumina price.
Rick Dillon: No problem, Sal. So, in the U.S. it’s all – and it’s all on just the LME price, not on the final price of course. It’s all percentage LME. In Iceland this year that’s just concluding was mostly percentage LME. There was a small dose of index and I don’t have an answer for you in for 2015 yet because we’re currently literally in the period where we’re negotiating with the counterparties what 2015. You know how these deals work, right. They are multiyear deals but there is a re-pricing every year within a min, max range on the percentage LME and that’s what we’re negotiating right now. We’ll have some good guidance for you on that in Feb. 
Sal Tharani – Goldman Sachs: Got you. Because most of the aluminum companies – when you listen to Alcoa’s call yesterday trying to move these contracts to the API index, API contract and I am just wondering is that something you may end up doing eventually?
Mike Bless: Yes. We may well, that’s an excellent question, and we’re looking at it hard and so I’ll leave it at that. The answer is, yes. Obviously you lose the – we tend it to call it a natural hedge, but you lose pardon me, the linkage between let’s call it your second largest cost and the value of your -- or most of the value or at least historically most of the value of your finished products. But, yes. You could see us moving to more of an index buyer on alumina. 
Sal Tharani – Goldman Sachs: Great, thank you very much.
Mike Bless: Thanks, Sal.
Operator: Thank you. Our next question will come from Paul Massoud with Stifel. Please go ahead.
Paul Massoud - Stifel Nicolaus: Hi, thanks for taking my question. I just wanted to ask a little bit about future investments. Obviously you mentioned the demand has picked up because of both aerospace and auto, and on the auto side if you believe some of the third party estimates that are out there we really haven’t seen the steep part of the demand curve just yet. But, over time it seems that a lot of the volumes that's going to be going in the industry, it’s going to be coming from packaging machines, I am just curious, as you look out of investments in the future, is moving into the mid-stream business something that you consider? Has that come across your radar?
Mike Bless: No. Good question, we don’t feel like, we like to do what we think we can – where we think we can add them – and that’s not a mid stream business. We’ll supply those mid stream guys. So, body sheet obviously is one of the markets that’s going to be growing. There’s a severe shortage of slab which would be the primary product, “value added” product that goes to those guys and so that you can reasonably conclude, I am sure that’s one of the markets that we’re looking at hard.
Paul Massoud - Stifel Nicolaus: Okay. Great, and then maybe – I know you didn’t really mention much of that and I assuming there’s not a lot update but I mean if you could just talk a little bit about Helguvik, if there are any updates there? And then in just – I am thinking about the investments that you have talked about, I mean should we take from that the assumption that Helguvik is becoming less and less likely and therefore you’re starting to look at other areas that are probably more attractive in growth rather than just sort of sitting on?
Mike Bless: No, Paul. There is not a lot of update to give just to your specific question on Helguvik right now. There’s been a lot of work and a lot of discussions taken place, but rather than just say that to you, we prefer to say whether it’s actually been a development and so there’s no material development, but they really stand on their own. Helguvik we consider still to be a superb investment, assuming we can get the power finalized – the quantum of power obviously and returns that makes sense for us. So, they’re really independent. All you’re seeing now is that, we got opportunities on the value add side. There right now the market is really short of those products and so we’re going forward and especially they are in regions where there’s not a lot of – there’s not a lot of primary metal capacity that can be converted to these products and that’s why the stuff is coming from places like Russia and from the Persian Gulf into Europe and into North America. Helguvik is totally separate. We still are doing whatever we can reasonably to make that happen. We just don’t have any substantive update for you today.
Paul Massoud - Stifel Nicolaus: Well, thanks again.
Mike Bless: Thanks.
Operator: Thanks. We also have a follow up in queue from Paretosh Misra. Please go ahead.
Paretosh Misra - Morgan Stanley: Thank you. One last one on Ravenswood, is there anything to look forward over the next few months? Any kind of key dates, key meetings?
Mike Bless: Well, there are meetings all time, the date or the thing that you might see I suppose, if that’s what you’re looking for is – at some point of time we would have to make a filing with - West Virginia Public Service Commission and that's, they’re going to test whether in most [TSEs] (ph) that would be a reasonably public thing they post it on their website. One of my colleague Jesse is, said up and down now and so that’s something that you would see if we got to the point where - which will help you to do as I said by the no later than end of the year that were in a position to make a filing. I think that would be quote unquote thing you would see. 
Paretosh Misra - Morgan Stanley: Great. Good luck with everything.
Mike Bless: Thank you very much. Appreciate the question.
Operator: Thank you. Also a follow up from Jorge Beristain. Please go ahead.
Jorge Beristain - Deutsche Bank: Hi, guys. Just under the worst case assumption that things at Mt. Holly were not renegotiable on the power contract, what would be the shutdown cost and exit cost of that smelter?
Mike Bless: We don’t have an estimate on that. We’ve looked at it to the best of our ability I suppose thus far. It wouldn’t be very different from the answer we gave you for Hawesville. The biggest risk would have been as you remember at Hawesville and would have been at Mt. Holly, if we hadn’t provided the termination notice. And so, there’s no demand charge, there’s no fee payable to the power company after December, 2015, if regrettably as you say we won’t able to reach an agreement with them. So it would be the normal settlement of the totaling liabilities and contractual liabilities. Kentucky was in $10 million or $20 million range and you wouldn’t see very different – we believe here at Mt. Holly but we – as you can tell we haven’t done a lot of thinking about that because we were focused on in our opinion where we should be focused, which is getting across 2015 power deal.
Jorge Beristain - Deutsche Bank: Understood. Great, thanks very much.
Mike Bless: Thanks.
Operator: We also have a follow up from Sal Tharani. Please go ahead.
Sal Tharani – Goldman Sachs: Hi, one more. Just a housekeeping, if I were to model Mt. Holly unless that you buy that $67 million, what depreciation should be used?
Mike Bless: That’s a tough one. It depends on the purchase accounting, Rick, I guess, and how the purchase price is allocated to the assets. So, you want to take a stab at that.
Rick Dillon: It’s too soon for us to give you that. Especially at this purchase price and the moving parts, I know you have a good estimate.
Mike Bless: It really is, as you know Sal, depends upon how you allocate the price of that based on a appraisal – valuation that you’re doing and that's a tough one.
Sal Tharani – Goldman Sachs: Okay. That's fine. Thank you very much.
Mike Bless: Thanks, Sal.
Operator: At this time there is no additional questions. Please continue.
Mike Bless: We thank you all for joining us this afternoon. And we look forward to speaking with you in February, if not before. Take care.